Aaron Reddington: Good morning everyone, and thank you for joining us for Belden’s Third Quarter 2024 Earnings Conference Call. With me today are Belden’s President and CEO, Ashish Chand; and Senior Vice President and CFO, Jeremy Parks. Ashish will provide a strategic overview of our business, and then Jeremy will provide a detailed review of our financial and operating results, followed by Q&A. We issued our earnings release earlier this morning, and have prepared a slide presentation that we will reference on this call. The press release, presentation, and transcript of these prepared remarks are currently available online at investor.belden.com. Turning to Slide 2 in the presentation. During this call, management will make certain forward-looking statements in reliance upon the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. For more information, please review today’s press release and our most recent annual report on Form 10-K. Additionally during today’s call, management will reference adjusted or non-GAAP financial information. In accordance with Regulation G, the appendix to our presentation and the Investor Relations section of our website contains a reconciliation of the most closely associated GAAP financial information to the non-GAAP financial information we communicate. I will now turn the call over to our President and CEO, Ashish Chand.
Ashish Chand: Thank you Aaron, and good morning everyone. We really appreciate you joining us today. Let’s turn to Slide 4 for a summary of the major accomplishments we achieved in the third quarter and key messages I would like to highlight. As a reminder, I will be referring to adjusted results today. First, let me congratulate our team on another solid quarter as we delivered results slightly ahead of expectations. Performance was stable for the quarter, while our customers remain cautious as inventory destocking is nearing an end. For the third quarter, our revenue and earnings per share both exceeded the high end of our guidance as our solutions transformation continues to push forward. Revenue totaled $655 million, up 8% sequentially, and earnings per share came in at $1.70 cents, up 13% sequentially. Profitability aligned with our expectations and our adjusted EBITDA margins increased sequentially by 70 basis points to 17.2%. Second, I am pleased to report steady demand for the quarter. Orders in the third quarter were up 8% sequentially, marking the fourth consecutive quarter of order growth. Compared to the prior period, orders were up 28%, with strength in both segments. From a geographic perspective, we continue to see tempered results in EMEA and APAC, but I am encouraged to see organic revenue growth return to the Americas region, which constitutes over 60% of our overall business. Organic growth for the quarter was positive 1% year-over-year, marking the first quarter of organic growth since the second quarter of last year. Our markets continue to experience diminishing headwinds and I am pleased to see steady execution resulting in performance exceeding our expectations. Finally, our business continues to generate meaningful cash flow, and we are deploying capital consistent with our capital allocation priorities. Trailing-twelve-month free cash flow was strong at $211 million, roughly in line with recent performance and expectations. With our ample free cash flow, our team continues to invest in high-return opportunities beneficial to shareholders. This quarter, we deployed $6 million to acquire Voleatech, a small tuck-in software acquisition to support our active products portfolio and edge devices with firewall technology for industrial OT networks. Further, we continue repurchasing shares, and as of earlier this week, our total repurchases for the year amount to 1.2 million shares using $115 million of our free cash flow. Our balance sheet remains strong and provides us with the ability to enhance shareholder returns in multiple ways. You can expect us to continue to look for acquisitions that support our solutions transformation and when appropriate buy back our stock at levels we find attractive. Now please turn to Slide 5. During our Investor Day this past month, we outlined a disciplined approach to M&A; targeting products and technologies that enhance and expand our solutions offerings. Consistent with our framework, I am pleased to announce the acquisition of Voleatech, which closed during the quarter for $6 million. Voleatech, based in Germany, is a leading provider of advanced cybersecurity firewall technology, designed to protect industrial networks with robust OT security solutions. Voleatech is attractive to Belden as the technology enables and accelerates our active product portfolio. The software developed by Voleatech fits in nicely with our industrial products by upgrading our active offerings with key firewall technology utilized in OT networks. Now please turn to Slide 6 for a quick summary of notable wins for the quarter. The examples this quarter come from our mass transit and hospitality verticals. Starting with the first win, Deutsche Bahn is a leading provider in the mobility and logistics sector, with services focused on the German market. I am pleased to announce that Belden has won a multi-year opportunity worth between 25 and 45 million euros to upgrade their high-speed ICE train systems over the next eight years. Our customer was facing a challenge with network infrastructure and was looking to upgrade their system. Instead of running parallel networks, Deutsche Bahn needed a solution that could support both operational and customer-facing IT systems with a dedicated safety network. Our consultants worked with Deutsche Bahn to understand the need, engaged in multiple proofs-of- concept, and ultimately won the business to provide a solution around our ruggedized switches customized to simplify application integration. In addition, our team is engaged with Deutsche Bahn to provide training and support as the solution is broadly implemented. Next, let me take a moment to highlight a win in the hospitality vertical with a major gaming and leisure operator. Our customer was looking for a single provider to supply a network backbone to connect and run their entire operations including the gaming floor, guest rooms, security, access controls, and on-premise data centers. The team secured a project worth $2 million to provide a network backbone including fiber, copper, connectivity, and other 5G connectivity elements. Our team from the CIC in Chicago went through the complete solutions process and ultimately put together an offering including products from across the organization including our traditional industrial, smart buildings, and broadband businesses. This is a great example of our team combining products from our legacy business units to provide a truly unique solution. To conclude, we believe that our solutions are superior in the marketplace, and over time wins like these will ultimately lead to more sales and a deeper and stickier relationship with key customers. I will now request Jeremy to provide additional insight into our third quarter financial performance.
Jeremy Parks: Thank you, Ashish. I will start my comments with results for the third quarter, followed by a review of our segments, a discussion of the balance sheet and cash flow, and finally our outlook. As a reminder, I will be referencing adjusted results today. Now, please turn to Slide 7. Revenue for the quarter was $655 million, up 8% sequentially and exceeding the high end of our guidance of $650 million. Excluding the Precision acquisition, revenue in the third quarter was up 3% sequentially. Compared to the prior year, third quarter revenue increased by 4%. Organic revenue was down 2% year-over-year with Automation Solutions down 3% and Smart Infrastructure Solutions down 1%. We are encouraged to see our organic growth rates continue to improve and expect positive year-over-year growth in the fourth quarter. Orders for the quarter were up 8% sequentially and up 28% year-over-year, with both segments exhibiting strong year-over-year growth. Gross profit margins came in as expected at 37.8%, decreasing 40 basis points sequentially. EBITDA was $113 million with EBITDA margins up 70 basis points sequentially to 17.2%. Net income was $71 million, up from $62 million in the prior quarter. And EPS was $1.70 above the high end of our guidance range of $1.65. Turning now to Slide 8 for a review of our business segment results. Despite continued slowness in our markets, performance aligned with our expectations. For the third quarter, revenue in our Automation Solutions segment was down 2% compared to the prior year. EBITDA margins were 21.4% in the quarter, down from 22.5% in the prior year. Orders in Automation Solutions were down 1% sequentially and up 25% compared to the prior year. While we have not yet seen a recovery in our discrete markets, other verticals, including process and energy, did show strength for the quarter. As mentioned previously, Automation Solutions revenue declined by 3% organically on a year-over-year basis. However, excluding the discrete vertical, organic revenue growth was positive for the segment. Revenue in our Smart Infrastructure Solutions segment grew 13% compared to the prior year. EBITDA margins were 12.7% in the quarter, down from 13.3% in the prior year. Orders in Smart Infrastructure were up 18% sequentially and up 31% compared to the prior year. Excluding the impact of Precision, orders were up 7% sequentially and up 19% compared to the prior year. We saw improvements in both end markets with continued recovery in broadband and slight outperformance in our growth verticals within smart buildings. We continue to see destocking in our markets, however, the pace of destocking continues to moderate. Next, please turn to Slide 9 for our balance sheet and cash flow highlights. Our cash and cash equivalents balance at the end of the third quarter was $323 million compared to $597 million in the fourth quarter of 2023. Please note that the cash consideration for the Precision Optical acquisition was paid during the third quarter resulting in a use of cash. Our financial leverage was 2.1 times net debt to EBITDA at the end of the third quarter consistent with our expectations. We intend to maintain net leverage of approximately 1.5 times over the long-term. As a reminder, we generate the majority of our free cash flow in the second half of the year, particularly in the fourth quarter, which provides us the opportunity to reduce leverage and further deploy capital through the third quarter. Through the third quarter our trailing 12-month free cash flow came in as expected at $211 million, roughly in line with previous periods. Consistent with our capital allocation priorities year-to-date we have deployed approximately $417 million toward M&A, share repurchases and dividends. We currently have $358 million remaining on our repurchase authorization. As a reminder, our next debt maturity is not until 2027 and all of our debt is fixed with rates averaging 3.5%. Please turn to Slide 10, for our updated outlook. For the fourth quarter, we anticipate order patterns to remain steady across our markets as customers navigate this dynamic environment. Revenues are expected to be in the range of $645 million to $660 million, representing a 17% to 20% increase over the prior year quarter. Adjusted EPS is expected to be in the range of $1.62 to $1.72, representing an 11% to 18% increase over the prior year quarter. That concludes my prepared remarks. I would now like to turn the call back to Ashish.
Ashish Chand: Thank you, Jeremy. To close, let me reiterate that the third quarter for Belden was again steady, with the orders increasing modestly on a sequential basis and up meaningfully compared to our low point in the prior year. Our customers continue to operate cautiously. However, I am pleased to see our solid execution once again drive outperformance. As we outlined during our Investor Day last month, our business is well positioned to succeed as the next investment cycle ramps up. We are successfully executing our transformation and focusing our efforts on key verticals with solid secular growth trends and high data needs. Internally, we are aligning our processes and operations around solutions to realize the full potential of our product portfolio. The wins I mentioned earlier highlight the opportunity ahead of us as we continue refining our go-to-market strategy across the organization. Our strong financial position allows us to accelerate growth with tuck-in acquisitions and provides excess capital to opportunistically repurchase shares when it makes sense. I am confident in our team’s ability to transform our business, leverage our superior technology and capitalize on growth opportunities in all market conditions as we generate sustainable long-term shareholder value. Looking forward to the fourth quarter, we see continued stability across our businesses as customers remain watchful on the eve of the U.S. elections. Economic indicators such as inflation are encouraging and manufacturing PMI figures have improved. However, they are not consistently back into expansion territory as yet. As a short-cycle business, our forward view is limited beyond the most current quarter, so it’s difficult for us to estimate when these trends will dissipate. What I can say is that our business is well-positioned for strong outperformance once things pick up. We will continue to execute in a measured fashion, working to advance solutions and gain share. I would like to take a moment to recognize the contributions of our associates this past quarter. I appreciate your efforts and would like to thank you for your support as we continue to transform Belden through a challenging environment. That concludes our prepared remarks, operator please open the call to questions.
Operator: Thank you. [Operator Instructions] We’ll take your first caller from William Stein from Truist Securities.
William Stein: Great, thanks for taking my question. Congrats on the good results and outlook, guys. I’d like to first ask about Precision Optical. Can you remind us – did that close at the end of last – the prior quarter or at the very start of this quarter? And if you could, disclose to us the revenue generated in the quarter from that company relative to your expectations.
Ashish Chand: Yes. Hi, Will. So the Precision deal closed right at the end of second quarter. And so we had basically a full quarter of ownership during Q3. Revenue came in right about what we expected. I think revenue for the quarter was $34.5 million, which was consistent with our expectations.
William Stein: Great. And then similarly with this Voleatech, I think it’s called quite a small one, maybe a little bit surprised you’re highlighting it, given I think you said $6 million purchase price. Maybe you can sort of shed some light us to why that’s even being highlighted. Is it more strategic than some of the other acquisitions have been? Or does the strategic importance outweigh that $6 million price tag? And can you disclose the annualized revenue expectation there? Thank you.
Ashish Chand: Yes, so let me start with that, Will, and then Jeremy can add some comments on the revenue. So the reason Voleatech is important, the reason it punches kind of above its weight, is that for a long time we had an inconsistent security layer in different active devices. So depending on which product category you purchased from Belden, there was a slightly different security configuration. We’ve been working to unify that across all our active products and we had estimated a certain time period to do that. Voleatech actually accelerates that dramatically. We are now able to, in one move, just go to a consistent security layer across all our edge devices. And that’s very important for many of our customers, who want to use our network and data solutions, but we’re concerned about security. So that’s why it is strategic. We highlighted it to make sure that broadly it was understood that we have this capability. It’s not a big – the revenue itself inherently in Voleatech is not very large. Maybe Jeremy can remind me.
Jeremy Parks: Yes. So, yes, we’re not going to be disclosing it, but it’s less than $1 million.
Ashish Chand: Yes.
Jeremy Parks: It’s very small Think about this as an opportunity to not have to invest that money organically because it would have cost a bit more to do it organically than to purchase this company and get that technology and it’s an accelerator in terms of helping sales solutions, but it’s very, very small, but strategically, I think relevant.
William Stein: I think I get it. If I could, squeeze one more in.
Ashish Chand: Yes.
William Stein: Your revenue performance in these sort of industrial end markets seems to be – the downturn seem to be much less severe than, for example, for component, most components that semiconductor companies selling into those end markets. And as you now sort of transition into growth, should we expect the rebound to be powerful or should we be more muted in our expectations because you’ve sort of outperformed in this weaker period? Thank you.
Ashish Chand: So if you break it down well on the discrete or the basic factory automation in that vertical, it’s still weak for us, right. So it’s not like it’s better than the market. It’s similar to the market. We were down. I think every other vertical – if you put all the other verticals together, we were up. And I think that speaks to how we’ve been able to take an integrated solution approach to verticals, which previously had broken up, how they were serving IT and OT and we have a new solution approach which helps them. So I think the component manufacturers don’t have that avenue. So I expect that when things rebound, we will certainly see more solutions in those markets. So whether it’s mass transit, we highlighted today the example of Deutsche Bahn, or whether it’s in some of the newer kind of markets like hospitality and healthcare, where we can also apply some of these industrial technologies. But I think on the discrete front, it’s going to be consistent with the broader market.
William Stein: Great, thank you.
Ashish Chand: Thank you.
Operator: And at this time, we’ll go next to Rob Jamieson from Vertical Research Partners. Please go ahead, sir.
Rob Jamieson: Hi, good morning. Congrats on the quarter. So I guess my first question, I just wanted to focus and see if you could speak a little bit about margin as we look forward with the volume recovery that we probably will see in or that’s continuing, I should say, within the Smart Infrastructure business. I mean, how should we think about gross margin that Lite just given there’s likely a probably higher percentage of passive component sales? How should we think about this dynamic as growth returns?
Jeremy Parks: Yes, I think, Rob, what you should expect is that we continue to improve gross margin every year. The framework that we’ve given you is, is from an EBITDA margin standpoint, 25 to 30% incrementals on the weight up. And so will – obviously gross margins will drive a good portion of that. So I would expect gross margins to improve, let’s just say, between 50 to 75 basis points per year assuming that we grow in the mid single digit range, maybe we’ll be able to do better because we’re selling more solutions over time, but we’re still early in that journey.
Rob Jamieson: Okay, yes, that’s helpful, thank you. And then just kind of focusing on growth on the Smart Infrastructure side a bit better organic performance than I expected. Is this just kind of easier comps versus last year when the deceleration there was a little bit more pronounced than on the industrial side of the business? And then I guess also on industrial solutions, can you just kind of walk through discrete process energy just how the underlying markets performed a little bit?
Ashish Chand: Yes. So your first question was about the comparison between Smart Infrastructure and Automation, is that right?
Rob Jamieson: Yes.
Ashish Chand: Yes. So on a sequential basis, the way I would characterize it is, industrial has been pretty – we’ve seen nice gradual improvement from quarter-to-quarter. In that business, we’ve seen better performance obviously in process and energy and still a bit of a headwind in discrete automation. Within Smart Infrastructure, the growth looks better on a year-over-year basis and actually there was pretty decent sequential growth in both revenue and orders. So I think what we’re seeing on the broadband side is that, as we expected, activities picked up as we’ve gone into the warmer weather quarters just based upon typical seasonality, the end customers that we’re selling to, the cable operators are continuing to make investments in their DOCSIS 4.0 upgrades and some of the other investment plans that they have. So that’s proceeding the way we had expected and we’ve seen nice improvements. So I think both of them are kind of evolving more or less the way we had hoped and we’ll see how things go over the next couple of quarters. With respect to automation, I made the comment on the call that if you take out discrete automation, everything else collectively grew on a year-over-year basis. In the – I’ll say, I didn’t give the number on the call, but it was – sort of in the mid-single digits with the best performing verticals being energy and then process. So those ones are doing pretty well. Discrete’s down on a year-over-year basis and mass transit is kind of holding.
Rob Jamieson: That’s great. Thank you very much.
Operator: [Operator Instructions] We’ll hear next from Mark Delaney from Goldman Sachs.
Mark Delaney: Yes, good morning. Thanks very much for taking my questions. I believe you said you’re still seeing destocking occurring throughout the channel even as revenues picking up sequentially. So hoping to better understand more specifically where you see inventory levels and distribution and any views around where inventory may be as the company exits this year.
Jeremy Parks: Yes. I think what we’re seeing is, first of all, inventory at distribution, I would say, is at a level that is consistent with longer term trends in terms of days of inventory at distributors. So I think that is okay. We are still waiting to see additional improvement in POS, because remember all along we’ve been talking about the destocking is having two components, which is inventory reduction at distributors and then inventory reduction at their customers, machine builders, OEMs, et cetera. And so what we’re still waiting to see is a significant acceleration in POS. It’s coming up over time. As those end customers or those intermediate customers work through their inventory, but we think – it obviously has a little bit more to go here. The difficulty, Mark, as you know, is we don’t have perfect visibility once we get beyond the distributor. So we’re having to rely on more anecdotal conversations and conversations with other participants in the market. But we think we’re making progress there and probably getting close to the end.
Mark Delaney: Thanks for that, Jeremy. My next question was about the $8 earnings target the companies had for 2025. I realized that was initially provided in a different macroeconomic backdrop. But maybe you can share your views around the potential to get to $8 of earnings in 2025. And if so, maybe talk about the path to get there. It looks like your run rating about 680 of annualized earnings in the back half of this year. So what would be the bridge from those sorts of levels toward that $8 number, if that’s still achievable?
Jeremy Parks: Yes. So we talked about this in depth obviously at our Investor Day, maybe a month ago, Mark, and we talked about the path. We used an annualized $6.60 in EPS based upon Q3 or Q3 guidance. And then we bridge that to $8 and that included mid-single digit organic growth off where we were in Q3, 30% incremental EBITDA margins and then roughly $200 million in capital deployment. And that is sort of a path to get to $8. Since then, nothing’s really changed other than we did slightly better in the third quarter. So as you mentioned, we’re annualizing at $6.80 of EPS. So I think the path looks very similar to that. Obviously, as I mentioned during Investor Day, it’s still kind of early. We have an election coming up, sort of an uncertain interest rate environment. So we’ll see how the next quarter progresses and how we start as we move throughout 2025. But from our perspective, nothing’s changed with respect to that, what that path would look like. And we’re not -- we’re still working toward that target. So nothing’s changed versus what we talked about at Investor Day.
Mark Delaney: Thanks for that, Jeremy. One last one if I could squeeze it in. I believe you characterized APAC as tempered in the prepared remarks, given the potential for stimulus in China. I realize it’s a smaller region for you, but any prospects for APAC to get better and are you hearing any indications of that from your customers or distribution partners? Thank you.
Ashish Chand: Yes. So if you look at the latest news from China, specifically, manufacturing is coming back. They’re certainly going to do more in terms of the stimulus, as you mentioned. And that does translate for us very quickly into mass transit, data center and also in power transmission and distribution. So we’re certainly engaged in those markets. I can tell you right now, Mark, that the funnel – the sales funnel we have for projects across APAC, including China, is positively inclined, right? It’s not – we’re not seeing – people saying, we don’t have projects. So I think once this – once there are a few more confidence boosting measures in China and a few other markets in APAC, as a result of that, we think it’ll be better than expected. But we have been cautious, because it’s a broad region. There are multiple systems of governance. There are some – there have been elections recently in some parts of APAC. So, yes – so for the prior quarter, yes, we wanted to make sure we highlight that it was tempered. But that is not necessarily a reflection of where we expect it to go, especially given the stimulus. You’re right.
Mark Delaney: Thank you.
Operator: We’ll hear next from David Williams from Benchmark.
David Williams: Hey, good morning and thanks for taking my question and congrats on the continued progress here.
Ashish Chand: Thanks, David.
David Williams: I guess maybe – thanks. I guess, maybe, first, how are the conversations with your customers going in terms of planning and maybe just talk about how they’re thinking about investment, deployment. I just have to think that we’ve had this period of slower growth. And so there has to be a lot of planning, at least as we kind of think about this next upturn. I’m just kind of curious what you’re hearing from customers on their Investment plans and how you think that might translate into growth as we look out over the next 12 to maybe 18 months.
Ashish Chand: Yes. So I’m going to give you two flavors here, David. The first is just quantitatively, if I look at our sales funnel for projects, this is where we have direct conversations with customers. It’s up mid to high single digits versus the start of this year, right? So in a nine-month period, it’s actually up and slightly better than frankly I expected when we started there. And then within that, if you look at a more data and network solutions focused portion of that funnel, that’s up a lot more. So, I think there are two things happening; a) customers are indeed planning for projects going ahead. This is especially true in the U.S. and North America where we do see the ongoing impact of reshoring, reindustrialization. And then there are obviously some near shoring, French shoring kind of phenomena that play out, so that’s certainly a big part of it. But then qualitatively, I think there are three things that are happening. The first thing that’s happening is more and more customers are talking to us about how do you integrate IT and OT in fact, the Deutsche Bahn example that we spoke of earlier on the call is really a project to integrate their kind of customer facing ID systems and their ID systems that govern all the operations. And they wanted to have one system with some segmentation for security, and right now they had disparate systems. So that was a problem. The same thing, by the way, the flavor was also true in the gaming and hospitality example we spoke to where they wanted to have an integrated system. So a) we see customers planning ahead for investment and we see that in our funnels and b) we see qualitatively them looking for simplified integrated systems across IT/OT and also where they see hardware and software as a single technology stack versus trying to buy that from many different vendors and pulling it all together. So to the extent they want – to the extent possible they want their data to be managed in one hardware plus software stack. So this is good for us because this is the solutions message we have for our customers. And so those conversations are extremely encouraging across multiple verticals.
David Williams: Great, thanks so much for that color. And kind of speaking to that from your acquisition you made this quarter and then just kind of thinking about the software side of things and the benefit that could bring. How do you see the landscape, I guess for acquisitions and are you focused more on software today or how do you kind of think maybe about the balance of acquisitions, hardware versus software longer term? Thank you.
Ashish Chand: Yes. We are certainly focused on three areas. There is basically edge hardware, which is – which always has some kind of embedded software. So it’s an active portfolio. That’s an area we keep looking for. We are certainly looking at wireless, and then we continue to enhance security through M&A. So the last one that we talked about, Bolia Tech [ph] was in that security area. Again, it was very important for us to signal to our customers and partners that we now have a robust, unified interface for that security layer versus having many different things. But, yes, these are the three areas we continue to focus on: edge hardware, software, wireless and security.
Operator: Caller, anything further?
David Williams: Nope. Thank you. That’s it for me.
Operator: [Operator Instructions] We’ll move to Chris Dankert from Loop Capital Market.
Chris Dankert: Hey, morning, guys. Thanks for taking the questions. I guess sticking with the acquisition topic, maybe conceptually, can you talk us through what the difference between Bolia Tech [ph] and the old Tripwire business is from maybe an application and technology perspective? We’ve kind of been in this space before. Maybe just kind of compare, contrast quick?
Ashish Chand: Sure. So, Chris, if you think about – if you think about our customers basic need, they want their networks to be secure. And for that, the first requirement is some kind of a door that either allows or doesn’t allow people to come into the network, right, and that’s basically called network access control. We provide that through our macmon acquisition, but that’s not fully integrated into our solutions. Then they look for – once you enter their network, they want to monitor where you go. That’s called visibility software. We partner with companies that make that software as an application. And then, once you have visibility, then you want to sometimes stop people and check their papers so to speak, and that’s called compliance. And Tripwire was actually a compliance software offering. So since it was two steps away from the network, we didn’t have as much synergy. There were kind of decisions made at different points in time by different people. And so at some point we said Tripwire may not be the best asset for us to own in cybersecurity and there would be a better owner. But we doubled down on the layer that was closest to the network, which is around access control. And then part of that became having a unified firewall interface and software system so that no matter which Belden Active product you had, you had a consistent experience and you could maintain logs in a consistent way and that’s where Volutek [ph] comes in. So it’s different from Tripwire, which was more compliance, file integrity management. This is really more at the layer which is closest to the network. Does that help Chris?
Chris Dankert: That’s extremely helpful color. Thank you so much for kind of walking us through that. I guess as a follow up here again, enterprise or sale or infrastructure sales in the quarter, really strong. I guess you called up some wins there if you kind of had to put it in different buckets. How much of the improvement is kind of driven by just, hey, the market is starting to see this gradual rebound versus, say, the flywheel, getting momentum in terms of solution sales moving into that segment?
Ashish Chand: I think it’s still – it’s still – the majority is that we are getting more momentum by combining, first of all. So we did – we made some moves a few months ago. We first of all combined our kind of separate smart buildings and broadband businesses under one umbrella, which is smart infrastructure solutions or previously enterprise solutions. And you see the win we talked about today in the gaming space, that’s actually a combined offering across that entire spectrum. So I think that was helpful. Second, we combined these solutions sales organizations for automation solutions and smart infrastructure. So that’s giving us more entry into projects that need combined network backbones. So that’s certainly helping us. I think also within our broadband space, and then I’ll think about the market, remember we focus much more on MSOs versus telcos and I think that’s helping us because the MSOs have been more consistent with their – with their usage plans. Now they did have some inventory overhang and they called it out. They dealt with that by changing their procurement process. But, it’s been more consistent. So, yes, I think the majority of the improvement is really driven by changes we made and the whole approach into solutions. And then there is a little bit obviously from markets improving on a more generic basis.
Chris Dankert: Got it. That’s great color. Thanks for walking us through that. And back to luck as you close up the year here.
Ashish Chand: Thank you.
Operator: And at this time, there are no additional callers in the queue. I’d like to turn the conference back over to your host for any additional or closing comments.
Aaron Reddington: Thank you, operator. And thank you everyone for joining today’s call. If you have any questions please contact the IR team here at Belden. Our email address is investor.relations@belden.com. Thank you very much.
Operator: That does conclude today’s teleconference. We thank you all for your participation. You may now disconnect.